Operator: Good afternoon, everyone, and thank you for standing by. Welcome to Evolus' Fourth Quarter and Full Year 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded and webcast live. [Operator Instructions] I'd like to turn the conference call over to Nareg Sagherian, Vice President and Head of Global Investor Relations and Corporate Communications. Please go ahead.
Nareg Sagherian: Thank you, operator, and welcome to everyone joining us on today's call to review Evolus' Fourth quarter and full year 2025 financial results. Our fourth quarter and full year 2025 press release is now on our website at evolus.com. With me today are David Moatazedi, President and Chief Executive Officer; and Tatjana Mitchell, Chief Financial Officer. Rui Avelar, Chief Medical Officer and Head of R&D, is also with us for the Q&A portion of the call. Today's call will include forward-looking statements. Actual results may differ materially due to risks and uncertainties outlined in our earnings press release and SEC filings. These forward-looking statements are based on current assumptions, and we undertake no obligation to update them. Additionally, we will discuss certain non-GAAP financial measures. These measures should be considered in addition to and not as a substitute for our GAAP results. A reconciliation of GAAP to non-GAAP measures is included in today's earnings release. As a reminder, our earnings release and SEC filings are available on the SEC's website and on our Investor Relations website. Following the conclusion of today's call, a replay will be available on our website at investors.evolus.com. With that, I'll turn the call over to our CEO, David Moatazedi.
David Moatazedi: Thank you, Nareg. Good afternoon, everyone. Before reviewing our 2025 performance and outlining our objectives for 2026, I would like to take a step back and provide a broader perspective around our performance beauty strategy. As we enter our seventh year as a commercial stage company, I'm proud of the fact that we are redefining the category through a beauty first lens. We are the first company with a neurotoxin dedicated exclusively to cash pay aesthetic and free from reimbursement dynamics. This approach enables deeper alignment with our customers and allows us to build differentiated long-term partnerships with aesthetic practices, partnerships that are increasingly translating into measurable share gains. The key piece of that strategy is Evolux, the first program in the industry that rewards practices with co-branded media investment tied to purchase volumes. As our customers grow with us, we reinvest to drive awareness for both our products and their practices, strengthening the partnership and reinforcing shared success. We've also focused on increasing patient retention through Evolus Rewards the first SMS-based loyalty program in aesthetics and the only consumer loyalty program co-branded with clinics. The program is designed to drive repeat visits and build lasting relationships between practices and patients. Over the past 6 years, Evolus Rewards has grown to more than 1.4 million treated patients, reinforcing brand preference and contributing to sustained share expansion. In the fourth quarter, we successfully piloted our new portfolio growth rebates, which officially launched at our national sales meeting in January. This growth rebate is designed to reward practices for growing with Evolus across our expanding portfolio of products, further increasing our strategic importance within each account and strengthening our competitive position. Education remains another cornerstone of our model. We have built a world-class medical education platform with broad reach and comprehensive curriculum that includes CME programs, live broadcast, cadaver labs, preceptor ships and small group hands-on trainings. In 2025 alone, we provided hands-on trainings to over 14,000 clinicians directly in their clinics. This year, we are elevating that platform further and we'll be hosting top-tier clinicians with new flagship training events at Evolus' headquarters. These immersive 2-day training will be focused on anatomy, clinical training and business support for high-volume practices. Most importantly, we continue to build a world-class portfolio of differentiated products. Jeuveau, our flagship neurotoxin remains a strong and growing product. We continue to advance the science, supporting its unique precision profile and differentiation, including an independent study published last year in JAMA demonstrating fast onset, the highest peak effect and the longest duration of the toxin study. This represents the second head-to-head study validating Jeuveau's advantages. Clinicians who trial the product recognize the differentiation which has supported our capture of over 14% U.S. market share to date. We continued to gain share in 2025, even in a declining procedural environment, demonstrating the resilience and competitiveness of the brand. In 2025, we also introduced the first new HA technology in over a decade with Evolysse. Our first 2 formulations are now in the market, and we expect FDA approval of Evolysse Sculpt, our flagship mid-face volume product in the fourth quarter. Our proprietary Cold-X Technology creates a natural HA formulation, which successfully demonstrated a longer duration of effect against one of the market-leading brands. Customers are reporting strong satisfaction, noting that gel's efficiency and for giving depth of placement, allowing injectors to achieve a more subtle natural-looking results. To date, more than 3,000 customers have purchased Evolysse, expanding our presence within accounts and increasing our overall share of injectable spend. As we enter the second phase of launch in the second quarter of 2026, we will be initiating a large sampling and experience program, which we expect to broaden the adoption of Evolysse. Internationally, we also continue to make significant progress. Last year, we entered France with our partner, Symatese, transitioned Germany to a direct model in the fourth quarter and delivered strong growth across existing markets. As a result, we now operate in 9 countries outside the United States with international revenue nearly doubling year-over-year. In key markets such as the U.K., we are approaching double-digit market share, reflecting the strength of our positioning outside the U.S. Turning to operating performance. 2025 was a unique year for the aesthetics market and only the third time in 25 years that U.S. injectable procedural volumes declined. Despite that backdrop, Evolus delivered 12% full year revenue growth marking our sixth consecutive year of double-digit growth. We exited the year on an accelerating growth rate of 14% in the fourth quarter, supported by top line growth across all product lines in the U.S. with Jeuveau and Evolysse as well as our international business. Midyear, we made the right decision to rebate our expense structure and align the organization for durable, profitable growth. The benefits of these actions were evident in the second half of the year where we achieved meaningful operating leverage. That structural reset and expense base positions us for 2026, where we expect to deliver on our revenue guidance, while growing non-GAAP operating expenses at a modest 0% to 3%, and expanding operating leverage to result in a low to mid-single-digit adjusted EBITDA margin. Our strategy remains consistent. We are building a global performance beauty company centered on differentiated brands for the cash pay consumer. In 2026, we look forward to introducing Estyme in Europe in the second quarter, expect FDA approval to Evolysse Sculpt in the fourth quarter and continue actively engaging in pipeline opportunities. We are deeply committed to driving profitable growth going forward and continue to target revenue between $450 million and $500 million, with 13% to 15% adjusted EBITDA margins in 2028. This outlook is meaningfully supported by the strengthening U.S. Jeuveau share to the mid-teens, scaling U.S. Evolysse share into the high single digits and the international business growing to more than 15% of total revenue. With that, I'll turn it over to Tatjana to walk through the financial details.
Tatjana Mitchell: Thank you, David. Before walking through the fourth quarter and full year results, I want to recognize our commercial and operating teams for their execution throughout 2025. It was a year that required flexibility and discipline as we navigated a challenging U.S. aesthetic market. The organization responded with clear prioritization, thoughtful cost management and a focused allocation of resources towards the highest return initiatives. That discipline allowed us to deliver fourth quarter profitability and positions us well for sustainable annual profitability beginning in 2026. I will now review the financial results. Global net revenue for the fourth quarter was $90.3 million, representing 14% growth over the fourth quarter of 2024. This included $83.1 million of global Jeuveau revenue and $7.2 million from Evolysse. For the full year, global net revenue was $297.2 million up 12% compared to 2024, marking our sixth consecutive year of double-digit growth. International revenue represented approximately 8% of 2025 global revenues, increasing from 5% in 2024. This included product revenue from Europe and Australia and service revenue from our distributor relationship in Canada. We are seeing continued momentum in our international markets, including approaching double-digit market share of toxin in the U.K., our most mature markets. International revenue is expected to become a more meaningful contributor over time as we prepare for the European launch of Estyme in the first half of 2026 and continue to grow our toxin share in existing markets. Turning to gross margin. Reported gross margin for the fourth quarter was approximately 66% and adjusted gross margin, which excludes the amortization of intangibles, was approximately 67%. For the full year, reported gross margin was approximately 66% and adjusted gross margin was approximately 67%. With respect to tariffs, based on announcements to date, Jeuveau, a biologic is not currently impacted by tariffs. Following the recent U.S. Supreme Court decision and subsequent executive actions, Evolysse, which is classified as a medical device and imported from France is currently subject to a 10% tariff. The administration has also communicated the possibility of an additional 5% tariff, though it has not been formally implemented. Our fiscal 2025 results reflect the previous 15% tariff and our 2026 guidance also reflects a 15% tariff assumption. We are evaluating the potential recovery of previously paid tariffs. We also continue to monitor policy developments and will evaluate any potential impact pending further guidance from the administration. Moving now to operating expenses. GAAP operating expenses for the fourth quarter were $55.1 million, down from $57.3 million in the third quarter. As a note on this quarter-over-quarter decrease, we realized the $4.5 million benefit driven by the revaluation of the contingent royalty obligation. Non-GAAP operating expenses for the fourth quarter were $53 million compared to $49.7 million in the third quarter, which includes the timing of costs related to our customer event that shifted from the third quarter to the fourth quarter. For the full year 2025, GAAP operating expenses were $229.8 million compared to $216.7 million in 2024. Non-GAAP operating expenses were $209.7 million in 2025 and within our guidance range of $208 million to $213 million. Importantly, non-GAAP operating expenses declined 4% in the second half of the year compared to the first half reflecting the benefits of expense reductions we implemented in Q2. As a reminder, non-GAAP operating expenses exclude stock-based compensation, revaluation of the contingent royalty obligation, depreciation, amortization and restructuring costs. Within operating expenses, selling, general and administrative expenses for the fourth quarter were $54.7 million compared to $52.8 million in the third quarter. This included $4.8 million of noncash stock-based compensation compared to $5 million in the prior quarter. For the full year 2025, SG&A expenses were $220.8 million, compared to $198 million in 2024, reflecting investments in our evolution into a multiproduct company with the launch of Evolysse in the U.S. as well as investments in scaling existing international markets. Non-GAAP operating income for the fourth quarter was $7.1 million compared to $6.7 million in the fourth quarter of 2024. As a reminder, both non-GAAP operating expenses and non-GAAP operating income excludes stock-based compensation expense, revaluation of the contingent royalty obligation, depreciation and amortization and restructuring charges. Non-GAAP operating income also excludes amortization of intangible assets. Turning now to the balance sheet. We ended the fourth quarter with $53.8 million in cash compared to $43.5 million at the end of the third quarter. The increase was driven by strong sales growth, disciplined expense management and effective working capital execution. As we look ahead to 2026, while we are not providing specific cash guidance, we expect cash usage to be meaningfully lower than in 2025 as operating leverage improves. Our use of cash in 2026 will primarily reflect interest payments and investments ahead of the anticipated launch of Evolysse Sculpt, including inventory build and a milestone payment. Today, we entered into a revolving credit facility with Eclipse Business Capital, providing up to $30 million of availability with an accordion feature up to $40 million. This facility is supported primarily by our receivables and will be used for working capital needs, including inventory build and preparation for the anticipated launch of Evolysse Sculpt. As a reminder, under our long-term debt agreement with Pharmakon, we retain access to 2 additional $50 million tranches with no incremental financial covenants or performance conditions and our existing term loan does not mature until mid-2030. Taken together, our approximately $50 million of cash access to up to $40 million under the revolving credit facility and availability of an additional $100 million under our existing long-term debt agreement provides substantial liquidity and flexibility. Combined with our improving operating leverage and sustained profitability beginning in 2026, we believe we have a clear path to generating meaningful free cash flow in the years ahead. This capital structure gives us the ability to scale the business, proactively manage our debt and continue to invest in growth. We are not planning to raise equity capital and remain highly sensitive to dilution. Let me now summarize our 2026 guidance. We expect total net revenues to be between $327 million and $337 million, which represents 10% to 13% growth over our 2025 results. Evolysse and Estyme injectable HA gels are expected to contribute 10% to 12% of total revenue in 2026. Adjusted gross profit margin for the full year 2026 is expected to be between 65.5% and 67%, reflecting an evolving revenue mix while maintaining the disciplined approach to margin optimization. Non-GAAP operating expenses for 2026 are expected to be between $210 million and $216 million, representing a minimal 0% to 3% increase over 2025. Against our anticipated double-digit revenue growth, this reflects meaningful operating leverage, driven by structural efficiencies implemented over the past year. In 2025, we aligned our commercial organization to support a multiproduct portfolio across U.S. and international markets, and streamlined our support functions, allowing us to scale revenue in 2026 without proportionate increases in field infrastructure. As previously guided, we expect to achieve full year profitability in 2026, delivering a low to mid-single-digit adjusted EBITDA margin on a consolidated basis. Beginning in fiscal year 2026 we will transition our primary profitability metric from non-GAAP operating income or loss to adjusted EBITDA to improve comparability with industry peers. This change does not impact our reported results as the reconciling items between the 2 metrics are consistent. As a point of note, other modeling assumptions for 2026 include, annual interest expense between $16 million and $17 million, which includes interest and amortization of financing costs on the long-term debt facility and on the revolving credit facility. Full year diluted weighted average shares outstanding of approximately 68 million. In summary, our 2026 outlook reflects the structurally improved cost base, disciplined capital allocation and increasing operating leverage, positioning the company for sustained profitability and future free cash flow generation. With that, I will turn it back to David for closing remarks.
David Moatazedi: Thank you, Tatjana. As we look ahead, Evolus enters 2026 from a position of strength. We've solidified our operating foundation, expanded our portfolio and demonstrated the discipline required to scale profitably with double-digit growth, a largely flat expense base, and multiple value-creating milestones on the horizon, we are entering a period of accelerating operating leverage and sustained profitability. Our focus remains clear. We're building a global performance beauty company centered on the customer experience, investing to drive practice growth while maintaining the expense discipline necessary to drive operating profit. We look forward to launching Estyme in Europe next quarter and gaining approval of Evolysse Sculpt in the fourth. These milestones, coupled with the continued momentum across our portfolio, reinforce our confidence in achieving 13% to 15% adjusted EBITDA margins in 2028. Thank you for your continued support. We look forward to updating you on our progress throughout the year. Operator, you may now begin the Q&A.
Operator: [Operator Instructions] Our first question is coming from Annabel Samimy from Stifel.
Annabel Samimy: And I guess good end to the year. Some questions about Evolysse and just trying to understand qualitatively, has the growth of Evolysse been primarily coming from the early adopter population? Are you starting to -- is the new count build starting to come from those injectors who want to start taking advantage of Evolysse in the portfolio? And are you starting to go deeper? Or is it starting to go broader? So maybe you can give some qualitative description around those ordering patterns.
David Moatazedi: Sure. Annabel, thanks for the question. So what we're seeing with Evolysse is a business that's continuing to diversify in terms of its customer base. As I mentioned on the call, we're now -- we now have over 3,000 purchasing accounts which represents a large portion of the Jeuveau revenue that was generated last year is now placed in order for Evolysse. So we feel very good about our ability to establish Evolysse in some of those clinics. We were also very pleasantly surprised by the portfolio rebate and how important that was in the fourth quarter within some of those accounts to commit a larger portion of their overall filler and toxin business to us, especially recognizing that we're operating with the first 2 formulations, and we plan to introduce more. So the portfolio rebate helps build on that momentum. What we also see is an opportunity now that we've learned a lot about this product to take it significantly wider. And that's really the initiative that we referenced on the call. In the second quarter, we plan to engage in a heavy sampling and trial program through a universe outside of that group of 3,000 to give them the opportunity to trial the product, to gain the training required, to adopt it and broaden that universe in advance of the approval of Sculpt and subsequent launch. And so we feel that we're on a very good track with the product. You saw the momentum build coming out of the year in the fourth quarter, and we see the momentum continuing to increase. Feedback from customers, we've done a number of surveys, and this is probably the most important part and we know that others have done channel checks, it's very positive on this product. The more experience that clinicians get with Evolysse, they realize that the advanced technology gives them a number of unique differences from the formulations that are currently available in the market. What's happening in the backdrop is consumers are looking for more natural fillers and a more natural look. And Evolysse, because of the Cold-X Technology it's designed in a way that gives you more effect with less product, creating a more natural look rather than relying on the swelling of the HA to deliver that outcome and we hear that consistently on top of the fact that they have the latitude to inject this product at varying depth and I think that gives it also one other clinical advantage that we're hearing in the market as well. So overall, the buzz on this product is great. We're looking to take even wider as we get into the year.
Annabel Samimy: I guess a follow-up question to that, is this a product that you think could turn around the growth in the market that I think was probably impacted not just by macro, but possibly changing trends?
David Moatazedi: Yes. As you said, there are 2 parts. I think the macro piece mirrors, if you will, the toxin market. And we do believe that you're starting to see improvement in the filler market when you look at the overall category year-on-year. But the changing trends is certainly a part of it because of communication that clinicians now have with their consumers is evolving around the use of HAs and we know that they're using less volume in each treatment. I'm going to turn it to Rui because I know Rui spent a lot of time recently with a number of clinicians talking about how the use of filler is evolving, especially with Evolysse.
Rui Avelar: Yes. And I think you've covered the major points, actually. It is a trend towards going to more and more natural. That's certainly one thing, it's certainly been helpful to punctuate the fact that this is a hyaluronic acid and distinguish the different opportunities that are within the filler. The thing that seems to be resonating very well is we saw in the clinical data that you don't need a lot of product to get effect. In fact, examples of less products still getting more effect. That's resonating really well, also less product being required. And then ultimately, from an injector perspective, they really appreciated the fact that you correct to the outcome that you're looking for. You don't have to undercorrect and anticipate swelling, you don't have to overcorrect because you're going to lose some volume because of the HA. So that control has been a big thing for the injectors itself. And finally, our data certainly suggests that the duration is there when we look at the 1-year data from Form and Smooth and the 2-year data from Sculpt.
Annabel Samimy: Great. And if I can just ask one last quick follow-up. In terms of the accounts that are ordering, are they predictably ordering after that second training now? Have you seen that consistent with what you've said in the past? Or is there still a pause after they first get trained?
David Moatazedi: Yes, it's a great question. I think coming out of the third quarter, we talked about that second training being an inflection point in utilization of the product. And we continue to see that being a really important indicator getting them sampled first and then trialing the product to get trained, followed by a second training, and we continue to emphasize that as well with the field. I talked about all the different training vehicles we have. I want to just -- my hats off to the education team across the company because we have a very comprehensive medical education platform, the launch of Evolysse was marked with a very large webcast, several thousand attendees. We've now done several thousand hands on trainings as well, and we have several thousand more clinics that could go through the second training. So we have our road map mapped out for us with existing clinics to drive meaningful volume increase as well as those new clinics to get that initial training. And we feel like we've got a great handle on this product. We are optimistic that the market is showing signs of recovery, although we do forecast a bit of a decline in the filler market continuing this year, and it is an improvement. But we expect that to start to recover towards the latter part of the year. So overall, we feel like we're on the right track. Our guidance reflects that as well and we're really looking forward to putting this in the hands of more clinicians.
Operator: Our next question today is coming from Marc Goodman from Leerink Partners.
Alyssa Larios: This is Alyssa on for Marc. I was wondering if you could provide some more detail on the structure of the rebate program, specifically how rewards are tiered for participating clinics and what metrics determine their eligibility? And secondly, looking ahead to 2026, how would you describe the overall marketing strategy? Are there active consumer-facing brand campaigns active right now and how is the investment split across the fillers versus the toxin?
David Moatazedi: Okay. Why don't I touch on the rebate and briefly on the marketing strategy, and then I'll have Tatjana touch on the investment overall as you think about really broadly commercial, how you think about that investment. Starting with the rebate, one of the things we've prided ourselves on from the beginning is we value transparency in how we price our products and how we operate. And so when we launch this portfolio rebate, it was designed as a growth rebate in the pilot. And so accounts that purchased 50,000 more in the quarter or 100,000 more in the quarter, they were eligible to receive a growth rebate for committing more of their business to Evolus. And that growth rebate came at the very end of the quarter as a result of directly from their purchases. And that complemented our Evolux program, which I touched on earlier, which is a volume-based pricing program. That is exactly what we're mirroring in the front half of the year. It was very simple to communicate 2 accounts. As a matter of fact, I had the opportunity to present this to a number of accounts in the fourth quarter during the pilot phase. And I'd tell you it was incredibly well received. I think many investors know that one of the challenges when we're a single product company is we were competing against portfolio bundles. This growth rebate in the pilot was designed to work through those bundles and it did so very effectively. And we trained our sales force in January on that growth rebate. It is based on 6 months of purchasing volume for those clinics. So it's from January 1 through the summer and the end of June. And we're hearing very good feedback on it. As a matter of fact, it's not just a portfolio rebate. We're hearing the same with our national accounts where we're seeing a very high growth rate in those national account chains as well, but see an opportunity to partner with Evolus in a more meaningful way. And that's really been the focus of the team. And then lastly, on the marketing strategy. Look, what I love about what we're doing is we're building on these unique capabilities. Our marketing strategy in terms of investing back in the clinics is directly tied to Evolux. And so we're doing unique things like digital advertising, billboards, TV spots, and we're doing them on both Jeuveau and Evolysse. They're all customized around the clinic and they're all targeted within the radius of their practice. And now that we increase our base of users, it's increasing our media spend as well in a very efficient way, and I know Tatjana will touch on that. And the last thing, we do co-promotions as well with other beauty brands. In the first quarter, we did one with Jeuveau and a brand called IPSY, which creates beauty products and accounts were able to purchase Jeuveau and earn a number of these gift bags that they in turn were able to market to their patients as a gift with purchase. And we think this is one of the unique elements of being a cash-based company, focused on the beauty space that enables us to partner with our clinics and give them value-added benefits that help them attract new consumers to their office. That partnership with IPSY was exclusive to Jeuveau, we're the first beauty company they partnered with, and it became a benefit for those patients. But I'll let Tatjana talk a little bit about what that spend means.
Tatjana Mitchell: Yes. Thanks, David. So maybe I think it's important to comment on our commercial spend. So the largest portion of that spend is really on our sales team and all of their activities. The next largest is in training. And then the 2 others are marketing where you would consider traditional media, and that's when we talk about CBM, the co-brand marketing. And then the fourth piece that David mentioned are these partnerships. We disclosed our advertising costs. We disclosed this media spend. And for the last 3 years, if you look, it's been in the range of $7.5 million to call it $9 million. And for 2026, it's going to stay in that range. And what we're able to do with that CBM, which is earned through the Evolux program, is really support the practices to drive the highest ROI for us and for them, but it's not this traditional just going out right and spending media into advertising the brands.
Operator: Our next question is coming from Uy Ear from Mizuho Securities.
Uy Ear: I guess, David, just based on your internal data such as your consumer loyalty programs and whatnot, how are you sort of seeing the market, the toxin market trending and how -- I think you perhaps kind of commented as well on improvement in the facial filler market. Yes, maybe just help us understand what you're seeing based on what you're hearing externally as well as what you are seeing internally? And I guess the second question we have is on your portfolio programs. I think you mentioned it was helping adoptions of Evolysse. Just wondering whether it's also helping with Jeuveau's adoption expansion as well in the accounts?
David Moatazedi: Yes. Thanks for the question, Uy. I think we have a really great handle on both not just our internal data, but some of the third-party external data in terms of what that means for the market. And to boil it down in 2025, we believe that the neurotoxin market declined mid- to upper single digits in terms of overall volume. And you saw that our business for Jeuveau, we gained in units despite the fact that you saw the entrance of a new competitor. So here's a brand in its sixth year that's continuing to demonstrate resilience. And I do believe we have a large part to do with a differentiated clinical data set as well as a very sophisticated sales organization with a number of unique tools because of our cash pay advantage. And we see that supported in our Evolus Rewards program that consumers are coming back and seeking retreatment with Evolysse -- with Jeuveau rather. And we continue to see that the retreatment rates rising over time. At the same time, I think we've seen over the course of the year, overall procedural volumes started to show incremental improvements. So especially if you compare to the first half of the year to the back half, we saw a meaningful improvement in the overall toxin market, and we do believe that although not all companies have reported yet, then in the fourth quarter, the market returned back to some level of stability, call it flat to low single-digit growth on the neurotoxin market. And you can mirror that to some degree on fillers, just not back to the same level of recovery and that it reflected that the market was returning to some level of improvement. And we expect that to continue into this year. And that's really what we've modeled is a toxin market with call it, low single-digit growth, a filler market that we'll start to see a road back to recovery for this year. And I think our internal data supports that. We're really pleased with what we're seeing in the market to start the year. I talked a little bit about our national account growth is incredibly healthy to start the year. The discussions around the portfolio that our sales force is having have been incredibly positive, and we're continuing to see momentum there. And so we see it as continuity in the right direction on the overall business. At the same time, it's important to recognize that this is all a marginal improvement over the prior time period. We haven't yet seen a bounce back. And so our guide doesn't reflect that. But to the extent we do, we'd expect to see a fairly short recovery once that does occur. And you're absolutely right that there's an interplay between the benefits of adding a new account for Jeuveau and the willingness to trial Evolysse. And also on the inverse, the Evolysse accounts that have brought Jeuveau into the door. And I think given we're just 3 quarters in, you're just starting to see the benefits of those 2 brands cross-pollinating both around the clinic and in front of the consumer because they earn in rewards on both brands. And so we see a lot of opportunity in 2026, especially with the focus on the portfolio bundle to be able to capitalize on that unique advantage. And of course, the approval of Sculpt only gives us an additional boost as we build on that portfolio benefit.
Operator: The next question is coming from Navann Ty from BNP Paribas.
Navann Ty Dietschi: Can you discuss your assumption on the competitive launches into the guidance with the BoNT/E and RELFYDESS. And also, if you can discuss your strategy around bundling after when you will be able to leverage Sculpt?
David Moatazedi: Navann, thanks for the question. As you pointed out, 2026, we're going to see 2 new toxin entrants from the 2 bigger players in this space. And so we expect AbbVie to launch their neurotoxin, a shorter-acting BoNT/E in the summer is what we understand. And then in the back half of the year, we expect liquid toxin to be introduced by Galderma. So we'll see the sampling that will come with those just as we did last year with the introduction of a player from Korea with Hugel, we expect to see heavy sampling in the market. That is reflected in our guide. And just keep in mind, sampling doesn't always translate over to adoption. So in the near term, it creates some pressure. But over the long term, you start to see accounts will commit to the brands that they're willing to purchase. Although we haven't seen a short-acting toxin in the market, it would be interesting to see their go-to-market strategy, don't have a lot of visibility to that. On the liquid product, we certainly competed with that product in Europe now it's approaching a year. It's been available there. So we're very familiar with it and understand how both consumers and clinicians see that. And I think as we get closer to commercialization, maybe we'll be in a position to talk a little bit more about that aspect. And I think that answered the second part to your question.
Navann Ty Dietschi: And just on the bundling, how will the strategy will evolve with Sculpt?
David Moatazedi: Yes. I think for this year, we're focused on the portfolio growth rebate for a full year. This is a pretty significant shift in conversations, you can imagine. Our reps are now going in there and having a conversation about committing an account business to us over a 6-month period in order to gain these benefits. These are strategic conversations for the clinic around who they want to commit their partnership to and the portfolio rebate gives us the rationale and the portfolio itself gives us the support to earn that business. And so we're seeing very good uptake early on. We expect to continue to do the portfolio rebate through the back half of the year as well. And as we expect Sculpt approval in the fourth quarter. That will be a product we'll talk about in 2027 more meaningfully and we may look to make adjustments to the portfolio growth rebate as we see it play out over the course of this year. We're just a couple of months in, and we're really pleased with how the field is executing against it.
Operator: Your next question is coming from Sam Eiber from BTIG.
Sam Eiber: Maybe just following up on the last question. I guess how should we think about filler growth perhaps accelerating in 2027 with the Sculpt launch? I guess, are accounts waiting for the product? Or does it necessarily just change the conversation you're able to have with providers here?
David Moatazedi: Yes. Maybe we'll start -- I'll turn it over to Rui to talk a little bit about clinically why this is meaningful to the accounts? And then I can talk a little bit about how that plays into the broader bundle in partnership with the clinic.
Rui Avelar: When we think about products like Sculpt, we're now describing the premium sector within the HA and the flagship product there is Voluma, for instance, that's the largest, most successful HA that's ever been launched. We think Sculpt will represent a competitor to that product. And when we think about what we're doing with that mid face, we're asking these gels to come in and take volume and do something that's really quite structural. And remember, it comes from a minimally invasive form. We are very optimistic about this product when we were doing diligence on the product. The investigators were very happy with the performance. And subsequent to that, we've actually gone against a product that's in the market well known and we've shown that -- we showed non-inferiority and superiority at the primary endpoint. And then more impressively, as you follow it out over time, when you get to the 2-year mark, we're showing 2 to 3x more responder rates at the 2-year mark. So we're optimistic. We're optimistic from that data. And as we're getting feedback from people using it in Europe, it's -- that feedback is actually correlating really well with what we saw in the clinical trials.
David Moatazedi: Yes. And then as it relates to the overall portfolio bundle, look, we see our positioning in this market continuing to strengthen. You look at Jeuveau, 6 years mature, continuing to capture market share. Evolysse off to an incredibly strong start in a market that has been challenged. But when you back out the underlying market performance, the actual performance of Evolysse within the market has been very strong, and we're doing that without a full portfolio in the space. And so we do believe that this is going to continue to build on our in-market share gain momentum that we continue to demonstrate as a company. And I think you couple that product being highly differentiated with our cash-based strategy on top of this large injector base that's purchasing Jeuveau, and we see a lot of opportunities to drive continued momentum over the next several years. And I'm really excited to see what the international team could do with the Estyme products, in the U.K., where we're now in our fourth year approaching double-digit market share with Nuceiva, which is our toxin there, that Estyme product is going to be rolled out with all 4 formulations all approved at the same time. And so that's going to give the team in the U.K. a real boost in terms of our ability to more effectively compete against the portfolio. So we see this as part of the natural evolution of the company, and we're excited to see this unfold.
Sam Eiber: Okay. That's really helpful. Maybe I can just ask a quick follow-up on some of the inventory dynamics at the provider level. Just sanity checking, is that back at what you would describe as normalized levels at this place? Or is there more room to work through that?
David Moatazedi: I think what we saw in the middle of last year was a drawdown in inventories, and we continue to believe that accounts are measured in how they take on inventory in this environment. They're seeing an improvement, which means they're a little more open than maybe they were coming out of the second quarter. At the same time, we haven't seen a rebound, where they're back to the inventory levels that they were in before. So that could potentially be something that could be a net positive if we see the market return more strongly as we get into the year.
Operator: Your next question is coming from Doug Tsao so from HC Wainwright.
Douglas Tsao: David, you touched on it a little bit. But obviously, last year, you had the competitive entrant from the Korean manufacturer, which was a, what I would sort of characterize as sort of an undifferentiated neuromodulator. I guess when you think about both the Galderma as well as Allergan expected launches of RELFYDESS as well as BoNT/E. They're coming at it with sort of this fast onset, one is going with short duration and one is making longer duration claims. I guess I'm just curious if you have a perspective on how those will shape up or influence the market?
David Moatazedi: Sure. Yes. I mean look, never take any competitor lightly, let's start there, and never take a moment like a new entrant coming in to capitalize on an opportunity, and I'm really proud of what the team did last year with the entrance of a new toxin player in the space we maintain our focus and you saw us continue to gain share despite the market declining. And I attribute a lot of that to the intensity that we bring to the way that we think around any new competitors. It starts with a heavy review of the science and clinical data. As you said, there are claims that are made around onset or claims that are made on longevity. And in the end, the question is, does the data support some of those claims. And I think that's our job to make sure that we provide a counter to some of the claims that are made in the space, but also to ensure that clinics are focused on the long game. You want to deliver high-quality products, that deliver high patient satisfaction in a profitable way to grow your practice. And we believe that's where we're incredibly well positioned in this space. We're the only company that's reinvesting back into these clinics to help drive that growth. we're reinvesting back and retaining those patients to continue to build on those practices and we're doing it with a broad portfolio. So it will be up to the new players to establish their value proposition in this space vis-a-vis the current products they have, but we think this creates an opportunity for us. And I know the team is very excited for it, and it's something we won't be talking too much about until we get to the middle of the year, but we'll certainly be prepared.
Operator: Your next question is coming from Serge Belanger from Needham & Company.
Serge Belanger: I guess the first one, David, can you just talk about maybe the seasonality trends for what we've seen so far in Q1? I know some other companies have talked about the winter storms affecting volumes for the early part of the year. Just curious if that's also been an issue in aesthetics. And then secondly, regarding the European market, just curious if they've experienced the same kind of macro headwinds that we've seen in the U.S. on the toxins and especially on the fillers if they've seen that same -- those same headwinds that have affected the U.S. market?
David Moatazedi: I want to turn it over to Tatjana to talk a little bit about the seasonality, and then I'll take the comments around it.
Tatjana Mitchell: Yes, yes. So what we're seeing in Q1 really is similar to what we saw exiting Q4, which is the toxin market is showing solid demand, right? We do not believe this market is declining. And then the filler market is still pressured, but not seeing those double-digit declines that we saw for most of 2025, and that is consistent with our guidance. also consistent with our plan. We rolled out these plans at the national sales meeting, similarly at the international sales meeting. And we feel good about these and we're executing on them. I can't necessarily say we've seen issues related to the weather. David, maybe you can comment on the European markets.
David Moatazedi: That's right. And in Europe, the overall economic environment has been stronger in Europe relative to the U.S. So when you think about the toxin space as an example, we don't believe that the toxin market declined in Europe last year. And at the same time, we do believe that there are signs that the HA market did recover towards the end of the year. And we do believe that it could have been flattish to exit the year in the HA market. And it's been a pretty sharp reversal from what was a decline in Europe in procedure volume for HA products as well. So that gives us some level of optimism that we're trailing about 6 to 12 months behind Europe in terms of our recovery of the HA market. And that's something we're going to watch closely. But as it relates to our guide for this year, just to reiterate, we assumed that the filler market would decline low single digits over the course of this year.
Operator: Thank you, and thank you for all your questions. At this time, I'd like to turn the call back to Nareg Sagherian for details on upcoming IR events. Nareg?
Nareg Sagherian: Thank you. We look forward to continuing the conversation at the Leerink Global Healthcare Conference in Miami on Wednesday, March 11. We hope to see many of you there. Thank you for joining us today.
Operator: Thank you. We reached the end of our call. You may now disconnect your lines.